Operator: Good day, and welcome to the Naked Wines plc FY Results 2020-2021 Conference Call. At this time, I will turn the conference over to Mr. Nick Devlin. Please go ahead, sir.
Nicholas Devlin: Welcome, everyone, to the full year results presentation for Naked Wines for the FY '21 financial year. Served one of these, and I'm still sad in my bedroom, talking to a screen. Hopefully, at some point, we'll get to do one of these in person. Wanted to start off with giving a few highlights from the year and just a recap on Naked Wines overall, and then Shawn will take us through the full details of the year's results. In summary, it's been a pretty transformational year for Naked Wines, the business, and it's been one of profound change for the markets in which we operate. I think in particular, in the U.S.A., which is now Naked Wines' biggest market, we've seen some really profound change in consumer behavior and consumer appreciation and understanding of the online channel for wine in particular. And in the first part of 2020, we saw a really clear inflection point in channel penetration for online in the U.S. wine industry. In terms of Naked for the year, it's been one where we have materially enhanced the economics of the business. We have not just a bigger business, but a better, stronger business. You see that here in a material enhancement in our repeat contribution margin, up by 3 percentage points. You also see it in the scale economic benefit coming through in the business. And we're well on track to build a company with a 10%-plus EBIT margin at scale. It's also been a year where community has been really important to us. And we've been profoundly aware that we've been one of the fortunate participants in the wine industry. Our model is well positioned to continue serving customers in a direct-to-consumer online way for a year of disruption. Many of the small winemakers that we know in the community have not had that privilege. Small independent producers have seen tasting room sales dry out. They've seen access beyond trade and local restaurants dry out. So alongside focusing on trading the business, we've continued to double our efforts to give back into our community, whether that's supporting impacted winemakers, even those we've worked with or in the broader industry, and continuing to harness the power of our communities for good causes. And a particular pleasure to me is that we raised over GBP 750,000 for Carmen's Kids, which is a charity we spoke with our winemaker, Carmen Stevens, in the Western Cape earlier this year. I think if I had to take one thing though that was sort of the biggest impact for the course of the last year, it's been the coming of age of the Naked proposition in terms of its appeal to winemakers. At the end of this year, that's challenged. I think all winemakers are really clear that the future has to involve a credible, successful direct-to-consumer strategy, and that online needs to be a big part of that [ consumer ] strategy. And as Naked grows and scales, our appeal to winemakers gets stronger. And as we've been able to continue to support the broader winemaking community in this year, our awareness and our visibility in that community has been enhanced. And I think you see that coming through in some of the names that are coming on to the Naked platform that I'll talk about later. So it's been a great year. We've also had some great numbers, and we'll talk about them. But overall, for us, really, it's been a year where we see ourselves making great strides towards fulfilling our long-term ambition. We've proven that the Naked Wines model works, that we can deliver great investment returns, that we can build a business of meaningful scale. What we want to do now is really take that to the next level. We're working with more winemakers and have a broader impact on the industry we operate in. I think it's as true now as it was 13 years ago when we founded this business, that most wine businesses, they don't work for the interest ultimately of the consumer or to the person who we think is important, the winemaker themselves. And we think we've got a better model, and we want to share it with a lot more people in all our markets. And to recap, that's a model that we constantly designed to get stronger every time we scale the business. And I think the results we've delivered this year really vindicate that. Today, we've got nearly 900,000 Angel members across 3 markets. Now that group of members churn, I think, something like $300 million a year in inflowing subscription payments. It's a pool of money that lets us support over 230 winemakers, and this year make over 1,500 amazing wines. Because of the support that we're able to give to those winemakers, we help them lower their production costs, make amazing wines for less money. And then they don't have to worry about sales and marketing costs because they know they're selling them back to our pool of nearly 900,000 members. That means those members enjoy exclusive wines and they pay less for them. And as the business scales, those benefits improve, and we're able to deliver customers an even greater, stronger value proposition. That creates a high loyalty business and lets us grow our customer base. It's, in some ways, a simple model, but a very powerful model and a hard one to replicate. And what that means to customers is we have a proposition that does 2 things. It gives rational differentiation, and I think this is maybe the easy part to pick up on. We're able to make high-quality wine at a lower cost. We strip out some of the cost of distribution that typically exist in a lot of other models by going direct. And we give customers exclusive access to world-class wine from great winemakers. But it's also emotionally differentiated. And I think we've really seen that amplified in the course of the last year. We've seen record numbers of our members interacting directly with winemakers on our app and our website. In a year, we've had to pivot from in-person tasting events with winemakers. We've seen tens of thousands of our Angels take to Zoom and interact directly with our winemakers. And then on the winemaker side, we have a proposition that I think is very special and is unique in the industry. We're able to offer 4 things to a winemaker. Firstly, autonomy. Make it a place where you get creative freedom, you're creating a brand with your own name on the label, you're making the wines you want to make, the way you want to make them. We pair with that security. You're able to grow a business and go on your own with limited capital risk. You've got a guaranteed outlet to sell your wines after you've made them, and we offer multiyear commitments. And those pairs very seldom come together, a thing very powerful we can offer. At the same time, we also offer great reward. And for our best, most successful winemakers, you can make a great living at Naked. And there's an opportunity to rapidly grow that income as our business scales. And finally, we give you an opportunity to really lean into your passion. This is a business where winemakers get to make wine as opposed to spend time running winery P&L or spend time meeting new distributors, going and doing sales events. And ultimately, that I think is, of the 4, probably the biggest factor that excites people about coming to work for Naked, a return to why they became winemakers in the first place. So all of that adds up to a model that's engineered to ensure that we can create amazing quality wine and sell it at affordable prices. And when you have a model that strips out of bunch of things you can't taste, that helps winemakers produce effectively at scale and get value out of the things you can. You can make great wines, buy Napa cab from prime vineyards, and you can sell those wines at a massive discount to the traditional market system. And that's better value that people can appreciate, the core of what we do at Naked. Now we're also a pretty data-obsessed company. So we're passionate about trying to measure that. And this data here, which compares the price that Angels pay for our wines compared to the average price in the U.S. market quantifies that. And you'll see as we go into producing more premium wines, getting very high ratings, anything above 4 in the Vivino scale is deemed to be world-class. The value differentiation actually is accentuated. Because typically, these are brands where traditionally, you have even more money spent on things like marketing and you have bigger retailer and distributor mark-ups. So all of that, we've got this amazing business that's differentiated rationally and emotionally, we've got a sustainable way of making better wine for less money, gives us the long-term ability, our ability, to take meaningful share in all our markets. And today, we've got an addressable market of around $24 billion globally. We've got about 1.5% penetration of that TAM globally today. We have a massive opportunity to drive value. I think we can grow materially in all our markets. But obviously, the biggest opportunity facing us is to penetrate the U.S. market more. And I think it's a place where our business is most strongly differentiated. And I'm very excited about the ability to grow Naked over the coming years and in particular, off the back of a breakthrough year where American consumers have really started to appreciate and understand the opportunity to buy wine online. At that point, I'm going to hand over to Shawn. He's going to take us through the details of the financials. I'll take a small moment to introduce Shawn Tabak, who joined us as CFO at the beginning of this year. It's been great having Shawn on board, having another Californian come and join the team and I really enjoyed working with him. And it's my pleasure to hand over to take us through the details of what are, I think it's fair to say, a pretty strong set of numbers. So Shawn, over to you.
Shawn Tabak: Thanks, Nick. And before I get into the financials, I just wanted to say hello and formally introduce myself to all of you. By way of background, I spent the majority of my career with technology or Internet companies in the San Francisco Bay Area and in Silicon Valley. And today, I'm excited to work with Nick and the team at Naked Wines to drive profitable growth with solid cohort unit economics. I look forward to meeting all of you over time. Naked Wines delivered strong growth in fiscal year 2021, with sales increasing 68% to GBP 340 million, driven by strong performance in all 3 of our geographies, but particularly in the U.S., which is our largest market and where our offering is most differentiated. Many online businesses benefited from COVID-19 as consumers adapted to government restrictions and lockdowns over the past year. And the wine sector also shifted towards online, resulting in a larger customer base for Naked, higher customer retention and more frequent purchases. Repeat customer contribution profit increased 83% to GBP 85 million, driven by a 53% increase in active Angels as well as scale economies and the mix shift to the U.S. which is our highest margin market. This increase in repeat customer contribution profit helped fund an increase in investment in new customers of 113% in the year to GBP 50 million, which tallied a 3x 5-year forecasted payback. Our adjusted EBIT loss was GBP 1.5 million, relatively flat with the prior year despite the increased investment spend. This chart shows some of the underlying fundamental trends in our business, both on order frequency as well as retention or as we show here, cancellation rates. You can see through the first half of the year, both order frequency and retention benefited from the COVID-19 lockdowns. And as a result, were better than historical trends. In the second half of the year, order frequency started to normalize as some of the lockdowns were lifted, but the retention rate has continued to trend better than historical trends throughout the year. Now turning to costs. During the year, we took a look at our disclosures and based on investor feedback, we enhanced our reporting to provide additional understanding of some of the underlying trends that impact our business. We also added more details around the breakdown of the income statement on our main cost drivers, including cost of sales, which is primarily the wine that we sell; fulfillment costs, which are primarily the cost to store, pick, pack and ship wine to our consumers; advertising costs, which are primarily media spend in our various marketing channels; and general and administrative costs, which are primarily personnel-related costs. Gross margin improved 160 basis points over the prior year, driven by a mix shift to the U.S. and also product mix, as we optimize the portfolio to preserve quality of service during the peak of COVID. Fulfillment costs remained flat at 17% of sales. Lower stock levels and greater scale efficiencies were offset by increases in transportation and logistics rates. Advertising costs were 12% of total sales, a 270 basis point increase over the prior year driven by strong investment across all channels and geographies to capture the opportunity created by the shift to online purchasing, particularly in digital channels in the U.S. and U.K. markets. Total general and administrative costs were 11% of total sales, a 175 basis point decrease over the prior year, reflecting added roles to support the growth of the business. Taking a step back from the numbers, we effectively increased contribution profit by approximately 200 basis points over the prior year and reinvested that margin enhancement in advertising costs and growth, which in turn creates more intrinsic value. Turning to our key performance indicators for our investment in new customers. Our business model is to invest in new cohorts of customers and earn a return on that initial investment over the lifetime of the customer cohort. We incurred 2 types of costs to acquire customers: the first is in the form of a discount on the first case of wine to new customers, which means we typically incur a loss on the first case; and the second is in the form of advertising costs to acquire new customers. The COVID-19 pandemic resulted in lower advertising cost per customer in the first half of our fiscal year. Investment in new customers was GBP 50 million in fiscal year 2021 with a 5-year forecasted payback of 3x. Customer acquisition costs normalized as the year progressed. And to give you a sense as to these more normalized forecast payback levels, our 5-year payback in the second half of the fiscal year was 2.2x. Year 1 payback improved to 82%, driven by lower cost of acquisition and an increase in order frequency. This slide shows the 5-year forecast payback progression, the last 6 years of cohorts. It demonstrates that we have had strong payback economics for years, and that historically, each cohort has improved since the original forecast. Additionally, our investment in fiscal year 2020 cohort has already reached payback and our fiscal year 2021 cohort has already paid back 50%. Shifting now to repeat customers. Repeat customer sales were GBP 284 million, a 63% increase over the prior year, driven by an increase in our customer base and an increase in order frequency, which was even higher during COVID-19 lockdowns. Repeat customer contribution profit was GBP 85 million, resulting in a 30% margin. This represents a 320 basis point improvement over the prior year, driven by increased scale efficiencies, product mix and the geographical mix shift toward our higher-margin U.S. business. We expect around half of this margin improvement to be an enduring lift. Repeat customer sales retention was 88%, a 565 basis point improvement over the prior year, driven by higher customer retention and an increase in the frequency of Angel orders. We had 886,000 active Angels at the end of fiscal year 2021, which was a 53% increase over the prior year. Shifting now to the geographical split of our business. We're pursuing the growth opportunity we have in the $20 billion U.S. market and have provided additional segment disclosures in accordance with IFRS 8, including both sales and contribution. And I'll start with sales here. All our geographies benefited from the shift to online wine purchasing over the last year. This trend has been most evident in the U.S., which is our largest market opportunity and where our offering is most differentiated. Total U.S. sales were GBP 162 million, representing year-over-year growth of 78%. The U.S. business now represents 48% of our total group sales, and we expect that shift in mix towards the U.S. will continue. Total U.K. sales were GBP 133 million, representing year-over-year growth of 66%; and total Australia sales were GBP 45 million, representing year-over-year growth of 42%. Moving on to the profits of the segments. Repeat customer contribution profit was solid across all geographies. The U.S. delivered the highest repeat profit of GBP 48 million with a margin of 37%, which was 420 basis points higher than the prior year driven by product mix and increased scale efficiencies. The U.S. segment benefits from the geographical 3-tier distribution system, which drives up prices in the region. Our exclusive direct-to-consumer model allows us to bypass the nonvalue-added markups associated with the distribution and retail tiers. And this means we can offer Angels a significant discount while delivering a healthy margin. Investment in new customers has increased across all geographies as we look to capture the market opportunity, particularly the U.S. And on to the balance sheet. We ended the year with a strong balance sheet and cash on hand of GBP 85 million. Free cash flow in the year was GBP 31 million, primarily driven by working capital. In the fiscal year 2022, we will use our capital to invest in growth, including investments in customer acquisition, the customer proposition and our go-to-market strategy. We'll also invest in inventory to increase availability, deliver our growth plans as well as our strategic objectives around enhancing the customer proposition. This [ meets ] an increase in inventory per active Angel from current levels as well as a distributed warehousing model in the U.S., which has the benefit of storing wine closer to the consumer and increasing availability. Our goal is to maintain sufficient cash and liquidity to operate the business given the seasonality in our inventory purchasing cycle and our sales. We allocate capital toward growth investments such that we deliver returns in excess of our weighted average cost of capital in our internal hurdle rates. If we identify that we have excess capital above what is needed to run the business and invest in growth opportunities, this will be returned to shareholders. Given the growth opportunities in front of us, we are not proposing any distributions or returns of capital to shareholders at this time, and we think we have sufficient cash to execute our fiscal year 2022 plan. Before I outline our guidance, I wanted to provide an update on trading for the first 2 months of our fiscal year 2022. I'm sure many of you are interested in what we are seeing in our business after such a tremendous year. Through the second month of the year, total sales have increased 8% year-over-year on a constant currency basis, driven by strong performance in our repeat customer base, which is a healthy pace considering the strong comparatives relative to last year. Repeat customer sales grew over 30% on a constant currency basis in the first 2 months of fiscal year 2022. This is being partially offset by normalization of new customer sales given the strong comparatives for last year and also reflecting a lower level of investment spend. We have also looked at the growth in sales in the first 2 months of fiscal year 2022 compared to fiscal year 2020, which removes some of the impact of the strong comparative. Compared to the first 2 months of fiscal year 2020, total sales grew 96%, new customer sales grew 30% and repeat customer sales grew 107%. So with all of this in mind, we're introducing guidance for fiscal year 2022 as follows: Total group sales are expected to be in the range of GBP 355 million to GBP 375 million. And please note there that we'll be lapping strong comparatives to fiscal year 2021, driven by the significant increase in active agents. We'll continue to invest in marketing opportunities, particularly in the U.S. And with that in mind, we expect new customer investment will be between GBP 40 million and GBP 50 million. We'll continue to have a disciplined and data-driven approach towards investing, with a focus on profitable growth and creating intrinsic value. We expect repeat customer contribution profit to be in the range of GBP 85 million to GBP 90 million. As I discussed, some of the increases in repeat customer contribution margin that we saw in fiscal year 2021 were driven by product mix. Therefore, we expect repeat margin to improve by approximately 150 basis points over fiscal year 2020. We expect repeat customer sales retention to be in the mid-70% range, below our long-term sales retention of 83% as we lap strong comparatives to fiscal year 2021, driven by the COVID-19 pandemic lockdowns. We expect general and administrative costs to be in the range of GBP 46 million to GBP 49 million as we invest in strategic initiatives, and this includes growing our teams across all segments, but particularly in the U.S. and also investing in our e-commerce functionality. At this time, we are sufficiently capitalized to achieve this guidance, which includes capital for committed inventory purchases to meet anticipated demand and availability targets. And now I'll hand it back over to Nick to cover the strategic plan.
Nicholas Devlin: Thank you very much, Shawn. Set you up well there for a first set of numbers. And if you carry on reporting the numbers like that, then we're -- you're going to have a very happy group of investors to spend time with. So I wanted to take stock and talk to you a little bit about what this year means. Obviously, we've had an exceptional set of performance, some of that's been a result of incredibly hard work and some good innovation from our teams. Equally, some of that has been a product of favorable market conditions for an online pure-play business. It's going to be another year where predictions are difficult, and it's hard to be unequivocal and certain. But I do think there are a number of things we know and we can share. And I wanted to talk to you about those and the impacts we think they have on our plans for this year and then our plans for the medium term. And I think what we can be confident about is that we have built a bigger and better, stronger business, and that, that business has enhanced medium-term growth prospects. So we think we can grow this business faster coming out the other side of the COVID-19 pandemic over the medium term than we were growing it on the way in. And I think it also means that whilst we're not going to change the core elements of the plan we've talked about over the course of the last year, we have an opportunity to accelerate and to go faster. And there are attractive investment opportunities for us in building capability to help us better serve our larger customer base as well as attractive opportunities that we've always talked about in acquiring more members. And that's a big part of what's behind the guidance. Shawn has outlined to you we've been stepping up our level of investment in our cost base. Put very simply, with 50% more members, the amount of improvement you need to drive in your proposition from an investment in, say, digital products or technology is 50% lower than it was last year. And we think that's a compelling case to go faster, which is what we will do. So let me talk about these 3 strategic pillars and where the focus is this year. I'm going to start with the customer proposition. Now whilst 2021 was, in lots of ways, an operationally intensive year, I'm actually really pleased that we also managed to make good progress on enhancing the customer proposition. I think a clear highlight was scale our subscription product, in particular, Never Miss Out, where customers can pre-commit to their favorite wine, has become a big part of our business with over 180,000 subscribers. We launched a new app, which is performing very well. We continue to launch a number of very exciting new winemakers. We trialed the Fine Wine Club in the U.K., where over 3,500 happy Angels have been delighted by the dulcet tones of Ray O'Connor who I want to give a shout out to as Naked Wines' first ever Master of Wine. Congratulations, Ray. What are we going to do this year? As I highlighted, we've got an ability to do more and move faster because we're investing in building out our technology and product teams to enable us to deliver a greater pace of change. And the priorities are going to be focusing on improving the ease and speed of shop for our customers; enhancing and elevating the winemaker content and sharing that more broadly; using our data more effectively to deliver wine recommendations and aid customer discovery, make it easier to find the perfect wine; and we're going to continue to innovate our subscription products. I think we've seen massive consumer appetite, but we believe we're only just scratching the surface of what's possible there. A couple of charts, I think, talk in particular about that subscription work we've already done. You can see we've grown that active user base very rapidly through the course of the last year. But I think what's most exciting for us as a data-driven company is that we've built confidence that when we sell customers an additional subscription to their favorite wine, it genuinely makes those customers more valuable. And for us, that's always the guiding light. If we can increase the lifetime value of customers, it means we can have the confidence to invest more aggressively in acquiring new members and still deliver attractive returns. So that was a particular highlight of the year. One of the areas we've talked a bit about but I think we can do more to explain is our belief that there's a big opportunity for this business and better communicating the quality of wine we're making. I showed you the chart earlier, which, to us, is the objective side of this. We are absolutely certain that our model is uniquely configured to let us make world-class wine at lower cost and share that with customers. But the reality is that there's also an important job to communicate that quality, and in particular, to nonmembers and people who are not familiar with Naked. And I think we can do a lot more here. So in the course of the next year, you'll see us do things like traditional third-party accreditation, entering more awards, winning more awards and then showing the customers and potential new members that we've won them. You'll also see us doing things to signal a specialist authority and quality, like expanding the breadth of our offer in traditional old world wine regions, adding more premium products to the range. You've already started to see some of that, in particular in the U.S. in the range in the course of the last 12 months. And we'll be creating more space to showcase content from our real stars, our winemakers. And it's been a year where a number of big names are debuted on the platform. And I could talk at length about all of these, but I've been told I need to keep it brief. I'll highlight Dan Baron is an amazing gentleman, a great winemaker, spent over a decade as head winemaker at Silver Oak. I'm incredibly excited about launching his Francophone brand to customers in the U.S. In fact, we've already sold over 30,000 bottles of it on pre-release and it will be launching this fall. So if you're here in the U.S. watching this and you've got a chance, get in quick. All of that talks to some of the opportunities we continue to see to strengthen our customer proposition. We firmly believe that whilst we've got a great business, there are lots of opportunities to carry on enhancing that and driving loyalty and lifetime value. The second way in which we see us driving the proposition as we grow is by enhancing the benefits of scale. Now some of this has been very evident in the disclosures we've made. On one level, you see the 3 percentage point enhancement and repeat contribution margin, and that tells the story more eloquently than I can. So I want to talk a little bit about the other side of the scale benefits, the impact that has on our ability to attract world-class winemakers to the platform. And ultimately, what we've had is a year where it's become very apparent to winemakers in the industry that Naked is a viable alternative to 3 tier distribution, and you can build brand scale. You can see here the growth that our top 10 wine brands from the U.S. have achieved. And in fact, all of those top 10 now are over 50,000 taste brands. Our largest, if it was reported separately, would make the list of the top 50 direct-to-consumer wine brand businesses in the U.S. I'm also really excited though about the way in which this growth is letting us lean into what I'm calling big niches. Put very simply, if only 10% of our customers are interested in a wine style, that's now nearly 100,000 people around the world. And it's giving us the opportunity to invest and support more different types of winemakers making more different types of projects. And I think that ability to harness scale economics to high and less mainstream projects is going to be very differentiating for us in our proposition. So if we've got a business with a great customer proposition but opportunities to improve that, and they get stronger as we scale, and all of that gives us the ammunition and the firepower to continue to grow the rate of investment whilst maintaining great investment returns. And that's exactly what we want to do. So let me talk to you about our go-to-market strategy for the year ahead. I've got to split this up into 2 pieces. And I think, firstly, just a little bit of context. In 13 years, we've grown Naked to GBP 340 million in revenue. But we've done that almost exclusively behind direct response advertising, i.e., tactics like putting vouchers into boxes or paid Google marketing, Facebook ads that are all aimed at driving an immediate response. We've not invested in paid brand communication. And I think we've got to a point in the evolution of the company where it's right that we start to diversify that marketing mix. And there's a role for brand spend. Now we're not going to abandon our testing mindset, but we do recognize that moving into brand advertising requires a different way of evaluating things, requires longer-term measurement. And in the course of this year, we're going to be moving in that direction. I'll talk you through a bit of that. I'll also tell you what our priorities are in terms of direct response. Why do I say now is the right time for brand advertising to have a part in the Naked mix? I think firstly, it's because we're at a point with over a year under our belt, an independent company, that we have real clarity on the brand positioning of Naked. We know that we exist to be where the world's best winemakers make their best wine. We're clear on the messages we want to communicate. We've created a lot of the assets and the collateral behind that. I think it's also because the last 12 months have created the right market opportunity. And in particular, in the U.S.A., our biggest and most important market, more consumers than ever are open to the idea of buying wine online. And therefore, our chance of success in communicating to a broad audience, we think, is greater than ever. But it's also because some of the R&D spending we've deployed in the last year has helped build our understanding. We have started tracking regularly a number of key brand metrics. And we've shown an ability to move and influence those metrics through spending in some different channels through deploying spend above the line. And in particular, we've identified the -- for our business, there are really 3 really important things to move: qualified awareness measure, a measure around brand trust and a measure around brand quality. And we are very confident that if we can move those, actually, over the medium term, there's an opportunity to accelerate the rate in which we're gaining share. Now turning to our strategies around direct response advertising, and there are 2 things I want to highlight. One is that this will be a year where we place a lot of focus on relevance. And we've done some of the testing behind this. But we know that we are missing value around customers who have preferences that are different to the most common preferences in their market. Take the U.S.A., 2 good examples. Our proposition is great for the majority of wine drinkers. But if you like wine that's on the sweeter side, at the moment, our first case isn't serving your needs. And if you buy wine, normally spending $40 or $50 a bottle, we're not sending you the right wine either. There's a really simple fix for that, and we've done a lot of the testing in the background and we'll be rolling that out over the coming months. You might ask in a simple way, haven't we done it already? And it's a fair question. The reality is that our ability to roll this out this year has been limited by some of the inventory challenges that we faced as a result of growing much faster than we anticipated. And then in terms of channel mix, we remain convinced there's an opportunity to materially increase the number of direct response marketing channels we're present in and how much we spent there. I think you've seen some evidence of us doing the second in the amount of investment we've been able to deploy at great returns in the last year. We have seen some really promising results in additional channels, particularly highlight Google Shopping, which looks like a real breakthrough. Native channels, things like Tabula, Outbrain, Verizon Network, where we're operating in, in all our markets. And direct mail where we've seen some really promising early tests, in particular, in our U.K. market. I think if there's one note of caution, right, before we deploy really material sums of money behind these channels. We do want to validate the results we've seen during the course of the last 12 months in a somewhat more normal consumer environment. That's just our mindset, and it's one of the challenges of having go through such a period of disruption. We want to make sure that these results generalize coming out the other side of the COVID pandemic. So where does all that add up to? I think it adds up to a time that's never been more exciting for Naked. And in particular, our largest, most important market has been favorably transformed, and we think that change is likely to be enduring. That gives us confidence in an enhanced medium-term rate of growth for Naked as a business, and we see the right target for us being growing this business at 20% a year over the medium term after we come through a year of lagging COVID comparatives this year. We've come out with strengthened economics, and better economics mean higher lifetime values, higher lifetime values mean a greater ability to invest in acquiring more customers, and in turn, that lets us build scale, which drives the economics. It's a virtuous circle. We also have a stronger community than ever. And that community is absolutely one of the bedrocks that lets us carry on having impact, that lets us build a differentiated proposition. And it's really important that we're building a business that retains that emotional differentiation alongside its rational differentiation. And our appeal to winemakers have never been stronger. And ultimately, I'm a big believer that one of the most important sources of competitive advantage we have is the quality and breadth of winemaking talent we work with around the globe. And I think we can continue to grow that level of advantage. I'm very excited about the opportunities we have to continue bringing new winemakers into our platform over the course of the next year. So it's a great time for Naked. It's going to be another year that's going to have degrees of challenge projecting and forecasting, but I feel incredibly excited. And I'm really looking forward to approaching it with Shawn and the team. And on that note, I'm very happy to take some questions.
Operator: [Operator Instructions] We will now take our first question from Mark Fortescue from Stifel.
Mark Irvine-Fortescue: Three from me, if that's all right. One on current trading, one on inflation and one on working capital, if that's all right. And just on current trading, that 8% number in April and May is encouraging. I wonder if you could split that by your 3 main geographies. Because the U.K. is perhaps a tailwind with tougher lockdowns, whereas I think Australia has opened up quickest with the U.S. probably in the middle. And that might just give us a better feel for the run rate when lockdowns are lifted. The inflation question. You talked about stepping up investment in staffing. Could you maybe talk about how you're finding that staffing process? Are there any challenges from some of the dislocation in the labor market that we're seeing elsewhere as COVID disruption recede? Also on cost of goods, any signs of pricing pressure on that front, either through supply chain disruption or sort of more fundamental inflation. And if so, just how much of that inflation, if there is any, do you think you can pass on? And how much will you absorb? The last one on working capital is why was there such a strong inflow from deferred income into the year end and will that...
Nicholas Devlin: Can we split the questions up a little bit because it's very early on the West Coast, and we're too simple to keep 3 questions in our mind at once.
Mark Irvine-Fortescue: Sorry. Should we do current trading?
Nicholas Devlin: The current trading first. It's not generally our intent to kind of disclose a lot of detail on current trading. We've made exceptional disclosures today because we know the level of interest. So I'm not going to give those numbers we've disclosed by market. But I can say that we're seeing broadly consistent trends across markets. So with substantially faster growth in repeat sales, evidencing the translation of customers we acquired last year into loyal members. And I can say that for our most important market, the U.S., we're seeing trends that are overall entirely consistent with what we're disclosing for our group.
Mark Irvine-Fortescue: Lovely. And maybe just the inflation one then on labor and cost of goods?
Nicholas Devlin: Yes. I think in terms of cost of goods, there's always a mix here. There are inflationary trends. There are also market level dynamics terms of great markets and regional sourcing, which move in different ways. Counterbalancing that, we've got an opportunity to harness the substantial additional scale we've brought into the business. And I think overall, we feel that in general, nets out a pretty favorable position. We've seen underlying gross margin improve over the course of the last 12 months. And certainly, it's our intent always to work out how we can be more efficient, how we can offset any underlying inflationary challenge and continue to maintain the prices we're offering to customers. And if we see other models having to pass some of that through, that's an opportunity to further enhance our differentiation.
Mark Irvine-Fortescue: So you're not pushing any underlying pricing through at the moment?
Nicholas Devlin: We're not seeing that. We don't have any requirement to do that.
Mark Irvine-Fortescue: Lovely. And just the last one was on working capital. Do you expect the inflow to reverse for the -- in the new financial year?
Nicholas Devlin: I'll leave that one to you, Shawn.
Shawn Tabak: Yes. That sounds great. Yes. So Mark, thanks for the question. When COVID hit, just as a backdrop, what happened in fiscal '21, much of the working capital benefit that we saw in the year was driven by inventory balances. And when COVID hit, we reacted quickly and responded to capture the tremendous growth opportunity in the market. And so based on the really strong demand that we saw in fiscal '21, our inventory levels were chipped away a little bit. And despite that, I think it's important to note that we maintained really strong customer satisfaction scores, such as our 5-star service rating at 91% and our buy-it-again rating at 91%. So going forward, we ended the year with a strong balance sheet of GBP 85 million, and we'll be investing to rightsize the inventory for the larger customer base. We have a solid inventory plan in place and commitments to fill our demand and our growth going forward.
Operator: The next question comes from [ Pierce Uberhaus ] from [ Brooke ].
Unknown Analyst: I have a couple of questions I'd like to ask, please, about today's slides. And these probably show nothing more than my ignorance of the business. But if I can just ask 2, please, about your disclosure. So the first one is on Slide 10, which is the one where you show the -- well, if maybe you can just clarify for me. In the chart, which you're showing, which I think you're showing, I think the point you're making is how good value you think your wines are. Can you just be clear, please? What exactly are you comparing with what there? So if I go to the right hand end of the chart, for example, where you're showing wines rated at 4.3 on Vivino. And then you're showing 2 different kind of typical price points. Are you showing the same wines? Or are you showing wines, which you think are of similar quality? Can you just help me on that one, please. First one.
Nicholas Devlin: Yes, sure. So it's a disclosure that compares the blue line, these are all wines that are sold on Naked in the U.S.A. The rating comes -- it's the rating that they have been given by users of Vivino; and the price is the price we sell to our customers. The dark blue or black line is data disclosed by Vivino. So the aggregate of all wines sold or red wines sold, I think, here in the U.S.A. And so it's saying of all wines rated at a 4.3 on Vivino, the average price is $68. The average of the wines that are sold by Naked that are rated 4.3 on Vivino is about $25. So apples-for-apples on quality. It's a consumer crowd source rating. And then it's comparing what customers are paying for that quality level of Naked versus on average what the prevailing price in the market is.
Unknown Analyst: I see. So it's comparing what some will pay on Naked for a wine of comparable quality on Vivino, but a kind of a much larger sample size than Vivino, is that right?
Nicholas Devlin: Yes.
Unknown Analyst: Yes. Okay. Great. And then the other one, this is probably just a point on disclosure. When you talk about your Angels, you talk about a number of 886,000. And then in your slide, if I get a little later on, I can see -- yes, if I look at Slide 27, I see your global active subscriptions is shown on a chart where it looks like at the year-end, they were somewhere between 300,000 and 400,000. How do these 2 numbers fit together, please, that number on the bottom left is 27 and your 886,000 Angels, please?
Nicholas Devlin: Page 27 is a disclosure around our subscription products. So these are additional subscriptions that customers can make beyond having an Angel account, and they involve making a prior commitment to purchase their favorite wine.
Unknown Analyst: Okay. This is your Never Miss Out and your -- oh, I see. Yes, okay.
Nicholas Devlin: Exactly. So you can infer from this the penetration of the subscription products into our Angel base.
Unknown Analyst: That's very good. So this is the subset of your Angels who happen to have other subscription products.
Nicholas Devlin: Correct.
Operator: [Operator Instructions] It appears there are no further questions via the audio at this time. We will now take questions from the webcast.
Unknown Executive: Thank you. And we've had a lot of questions from the webcast. We will endeavor to get through as many as possible. So first question is from Andreas. He's got 2 different questions. First one for Nick is, are you happy with 2x2 payment in H2, which is lower than all prior cohorts? And can you tell how April, May payback looks like? And the second question for Shawn is, can you elaborate how much currency in percentage of that guidance, e.g., what is your CC guidance?
Nicholas Devlin: So Andreas, thanks for the question. I'll give you a short answer. Yes, very happy. Investing at that level reflects when you fully discount back and look at the rate of return, we're generating something that we're very comfortable with and we see as being very attractive. In the second half of the year, we were able to deploy more than 100% uplift in quantum invested versus prior year. And when you think about value creation, that was a big step up. We've given the disclosure in the presentation on how our returns have tended to evolve over time. But we'll be very comfortable that 2.2x over 5 years represents a very rational and attractive unit economics. So indeed happy with that. Sorry to disappoint you, but I'm not going to get into commenting on kind of payback by month. I don't think that's a particularly helpful or actionable metric. But we thought it's usual to give the second half trend because it shows to you that we've seen a reversion from a period of, I would say, excess payback during the peak of the COVID pandemic to an ability to deploy materially more investment and something that's closer to our long-term target rate of return. And I'll let Shawn talk about constant currency.
Shawn Tabak: Yes. Great. So thanks for the question, Andreas. So yes, at this time, we don't report on constant currency or guide to it. Certainly, rates in the U.S. have moved up. And in particular, if you look at the first half of our fiscal year '22 versus fiscal year '21, rates have moved up and that can -- changes in rates obviously can put some volatility on our growth rate in the year, depending on which way rates move. Our planning assumption was just under 1.4 And if I take a step back from that, obviously, the U.S. would be the main driver of any volatility there. But if you take a step back, we're focused on the $20 billion TAM and the long-term value creation opportunity that we have there, which we think is really exciting and will drive sustainable growth over a period of time.
Unknown Executive: Next question is from [ David Collins ], who is asking how does inventory of wine available to Angels vary by each of the 3 regions, e.g., the U.S. Angels get access to more U.S. wines than U.K. Angels.
Nicholas Devlin: Short answer, David, absolutely. So we have localized buying capability in each of our markets, and we've tailored a range around the preferences of those markets. So for example, around half the wine we sell in the U.S. is domestically produced, so American wine. And that will be a big difference. And if you look to Australia and New Zealand, the proposition is very much engineered around sporting Australia and New Zealand's best winemakers. We have an extremely strong preference for locally produced product. So yes, the range is very different, it's bespoke in each of our markets.
Unknown Executive: A few questions from [ Elia ] from [ 91 ], and who's asking what trends are you seeing in digital ads, prices and effectiveness? What are the best ROI channels? And do you expect that to change? And finally, how is competitive environment in U.S. and the U.K?
Nicholas Devlin: The downside of written questions is people cheat so they put 3 questions in one. Well, let's try and answer this. In terms of digital advertising, it's fair to say that we have seen increases in CPM rates across a bunch of channels as the economy started to reopen and a lot of people moving to advertise, both online pure players looking to sustain momentum and traditional retailers looking to reopen. We've also seen some of the disruption associated with the IRS changes, I think, has led to some short-term inflation. Overall, though, I think the success criteria we've always found in digital advertising is around innovation and producing great content that differentiates and explains your brand and engages customers. And that's always for us being a bigger driver of long-term success and viability of digital advertising platforms than the exact kind of CPM rates prevailing in the channel. In terms of disclosure of payback by channel, I'm going to say the same thing I say every year. We don't disclose payback at a channel and market level. We don't do that to be a pain in the ass. We just do it because ultimately, the way we manage the business is around looking for a set of returns profiles. We challenge all of our channels and all of our markets to consistently deliver that over the medium term. And we don't think kind of return -- reporting the short-term volatility or outturn at a marketing channel level is ultimately helpful. In terms of the competitive environment in the U.S. and the U.K., that's a rather broad question. I think the key thing we're seeing in both of those places is that there has been an acceleration in existing trend of migration of customer demand from physical retail to online. In both of those markets, our biggest competitors and where most of our new customers come from, are from buying wine in large traditional physical environments, grocery in the U.K., mixture of grocery and independent liquor in the U.S. So that trend has accelerated, and we think that materially enhances our long-term growth prospects.
Unknown Executive: Thank you. Our next question is from [ Owen ] from [ MP Capital Partners ]. Again, we have a few questions in here. So let's start with the first. Who do you see is your biggest competitor in the online channel in the U.S. market? The second question is given the loan production....
Nicholas Devlin: Let's break them up. Let's break them up. That's lots of questions. I think the first thing I'll say, Owen, is that the biggest opportunity in the U.S. in the same way as the U.K. is introducing new customers to buying online and new customers to buying direct from winery. So very much the biggest challenge is offering customers better value than they're currently seeing either in general as liquor retailers or in grocery stores. In terms of the online market, I think there's a limited number of real direct head competitors. And ultimately, we see there's much more of a question here of convincing more customers to join the channel and grow overall channel growth and where we are the largest pure online winery direct-to-consumer business.
Unknown Executive: Owen's second question was around, given the long production cycle of wine and unpredictability of Angel growth and demand, how do we balance amongst that supply and demand dynamics? Angels need to increase supply, [ slash find ] winemakers versus Angels' demand. So any risk of inventory write-off?
Nicholas Devlin: Yes. That's a great question. And I think it's probably one of the most complex parts of operational management in the business, which we put a lot of focus and energy against. One of the big benefits as we scale is that more and more of our demand goes to our Angels, our repeat customers, whose demand profile, both in terms of the composition, the types of wines they buy and the absolute quantum is actually very forecastable and predictable. So compared to 4 or 5 years ago, it's actually a lot easier to forecast this than it was. But still in a year like this, it can be tough. And the dynamic is that you do need to make a commitment. If you want to make authentic high-quality wine, you need to make a commitment in advance, and it takes time for that wine to come to market. The inherent compromise we have to make, because we want to make wine authentically, we don't just want to go and buy it on spot in the bulk market, is that at times when you have a rapid inflection of growth, you do see some gaps in the range. And so we've seen some challenges in availability metrics in the last 6 months in both the U.K. and the U.S., I think, be honest about that. The good news is we've got a broad diversified supply network. We've got more winemakers than ever keen to work with us. So there's absolutely plenty of high-quality wine out there for us to find. The flip of that is saying is there a risk of a hangover, an inventory write-off. I'm very confident that we're not sitting on a bunch of stock that's likely to become obsolescent. So no.
Unknown Executive: And Owen's final question, is what's the latest regulatory environment in the U.S. that may affect interstate sales and your operations?
Nicholas Devlin: I think always important to start here by reframing that the way we trade in the U.S. as a winery selling direct-to-consumer in 43 states plus the District of Columbia is based on positive affirmation that's been tested at the Supreme Court and it's a very conventional model. Nearly every major winery, so people like Kendall-Jackson through to Gallo have a direct consumer arm of their business. So it's nothing exceptional, unusual and certainly not a work around. So the value is very well established. And I think it's a core part of how the American wine industry operates. At a regional level, where a lot of laws are set, we've actually seen some positive momentum in the last year. We opened up Kentucky earlier this year. That was State #42 or 43, someone will have to fact check me. And Alabama, which might be State 43, is due to open in the fall. So we're seeing, I think, that regulators have got a bit of a push and a nudge from consumers who said during the course of the COVID pandemic, "Hang on, why don't we get access to all that great selection and choice of direct-to-consumer wine that people in other states get?"
Unknown Executive: Next question, I think we can do this as a one-er, it's from [ Matthew Hayes ], and it's for Nick, and he's saying, we've seen secular shift towards DTC model emerging from the pandemic. [ Based on ] the legal action, what steps have the big 3 traditional wine distributors taken to combat their secular decline and what is Naked's response?
Nicholas Devlin: I think, again, here, it's worth talking about our general approach with compliance. The first one is we invest a lot of money and have built a really strong team headed by our U.S. General Counsel, Anne Huffsmith, to make sure that we are absolutely compliant with the law in all the territories we operate in and that we spend a lot of time understanding the regulatory dynamic and trends and challenges at a state level, which you absolutely have to do. It's a core competency. Actually, it's one of the things that's somewhat of a barrier to entry for a lot of people in terms of effectively serving the U.S. market with the direct-to-consumer proposition. As I said, in general, the biggest changes at a state level have been favorable in the course of the last 12 months, but we're not complacent. The more successful we are growing this business, absolutely, one of the ways in which people will seek to compete with us is trying to tilt the regulatory playing field. I wish that they would only compete with us by trying to offer customers better value for money but that's not always the nature of competition, certainly in the wine industry in the U.S. And as I say, our best response is to keep very much aware of what's going on in different markets, but also to bring to bear the power of our rapidly growing customer base. And a good example of that would be legislation that was tabled earlier this year in Tennessee, looking to ban fulfillment houses. So third-party warehouses that help wineries get wine to the end consumer. And one of the things we did when that legislation was tabled was get our thousands of customers in Tennessee to write to their local legislators. And in a rare example of people listening to their constituents, the bill got withdrawn.
Unknown Executive: Next question is from [ Jan ] from [ GMX ]. We would love to hear more context around the 20% per annual growth ambition and why that pace as opposed to 10% for much longer or 30% in a more aggressive ramp?
Nicholas Devlin: Jan, thank you, and that's a great question. I think a couple of things I'd draw out. One, we thought it was helpful today to provide some guidance around the medium term given FY '22 is an exceptional year, where we lag a very unusual set of comparative metrics. And so you can see a deviation from our long-term trend. And I think what we're getting at here is signaling at least 20% feels credible is that we are convinced that if you ultimately draw the chart of this business, you're going to have a sloping line going up. We're growing the business in the mid-teens pre-COVID. You're going to have a big spiker year and a slightly flatter year for F '21 and F '22. And then we think the diagonal line you draw out the other side is going to be steeper than the one we had going in. You know us very well, Jan. We're going to deploy investment as the opportunity is supported by attractive returns, and it won't be a straight line, and there will be times where the rate is greater than 20%, there may be times where it's a little bit lower. But we thought it was helpful to give that level of signal around our confidence that the medium-term outlook looks, in our mind, favorable and that the growth opportunity has been accelerated by some of the shift in trends we've seen. I'm sure we're going to chat more -- a lot more about this when we catch up and we're looking forward to it, Jan.
Unknown Executive: We have a question for Shawn the from [ Colin McCrafferty ]. You got 2 questions. I'll do them both as they're short. So first question is, thanks for more detailed breakdown on your cost structure. Will you be able to provide this data for years before FY '20 as well? And the second question is, why do we expect sales retention in FY '22 to be so low relative to our historical average?
Shawn Tabak: Yes. Thanks, Colin. And I'll take those in reverse order maybe. So starting with the sales retention. So as a backdrop in fiscal '21, we saw, especially when COVID hit and we were -- folks were in lockdown, we saw higher order frequency. And throughout the year, we saw higher customer retention, lower cancellation rates than usual. We also recruited customers a lot earlier in our fiscal year than what's typical. And we also found that customers were making their second purchase quicker than usual. And so that kind of atypical phasing sets us up for a strong comp on sales retention in fiscal '22 as well as obviously the higher order frequency is a factor as well. So as these trends normalize, in -- especially around order frequency, our -- we expect our retention to have a strong comp and be in the mid-70% range in fiscal '22. In the medium term, we expect it to come back to our historical range of about 83%. And then the question on the costs going back to FY '19, that is not a data we'll be providing.
Unknown Executive: Thank you. Next question is from [ Nick Montoya ] from [ GOP Funds ]. He's asking to what extent is your low inventory position constraining your ability to grow currently and to serve new customers?
Nicholas Devlin: Nick, it's definitely been the case that there have been periods over the course of the last 14 months in market to market, where we've had to slow the rate of customer growth because of operational constraints early on in the pandemic, warehousing choke point in particular or due to inventory position, making -- there's no point spending money bringing customers into the business to then give them a poor experience through a suboptimal range. And there's certainly no point doing that also at the expense of the customer experience and proposition we provide to our community of nearly 900,000 existing members. So it has been a factor. Your second part of your question you asked about kind of if it's being a factor, at what point will it be cured? And the plans we've got, we're actually in the process we see a lot of interchange over in the industry at the moment. Lots of Northern Hemisphere, 21 wines are coming close to release in particular kind of white wine where some of our availability has been most challenged. So very much something that we're starting to see now. We will see continued improvements, I think, in availability in the U.K. and the U.S. in particular over the course of the next 3 months. And I think I'd be confident as we kind of head to the fall, that we'll have the range in a position that's much more long-term average. I think as we head into peak, I hope we're in a position where we start to have our most exciting range in a long time because a lot of the things we talk about in terms of partnership with some of the new winemakers we're bringing on board and some of the higher end wines we've been working on for a while are going to start to go live.
Unknown Executive: Just as a reminder to everyone, we've had an incredibly a lot of questions come through, so we're trying to get through as many as we can. So our next question is from [ Simon ] and it's for Shawn. And [ Simon ] is saying last year, revenues grew by 6% to 8% and you invested GBP 50 million in new customers. Cash balances grew from GBP 55 million to GBP 85 million. This year, you forecast growth of 5% to 10% and investment in new customers about the same as last year, it was GBP 40 million to GBP 50 million. Truly, you do not need to retain so much cash on the balance sheet.
Shawn Tabak: Yes. Thanks, Simon. Good question. So first off, I'll say we're delighted that we ended the year with a strong balance sheet, and we are well positioned heading into fiscal '22. Maybe I'll take a second to maybe outline our approach capital allocation and how we think about capital structure of the business. There's really 3 pillars to this. The first is we maintain sufficient cash to operate the business, and in particular, taking into account the seasonality of our profits as well as our purchasing cycle. So the Northern Hemisphere harvest is in the fall, and that's when we purchase a lot of our wine, and our low point in cash tends to be in the October time frame. So we need to consider that in our cash management cycle. I think the second pillar to our philosophy is that we allocate capital to growth investments and ensure that those are delivering a return well in excess of our lack in our internal hurdle rates. And then the third pillar is any excess capital above that which is needed to run the business and invest in growth, which includes inventory, will be returned to shareholders. I think if you take a step back from all of that and think about what we've outlined here today with respect to fiscal '22, we're investing in strategic initiatives that create long-term value for the business. We're investing in new customer cohorts. We'll be investing in inventory to meet our growth plans, and also inventory to increase availability from current levels, as we talked about on the call today. In particular, we're rightsizing the inventory for the larger customer base that we have so that we can deliver our growth plans, and as well as our strategic objectives around enhancing the customer proposition. So we have a good inventory plan in place for fiscal '22, as I said earlier, with solid commitments in place to fulfill our demand. And as a result, as we said earlier, we're not proposing any distributions or returns of capital to shareholders at this time. There's clearly a lot of exciting growth opportunities we have ahead of us. I guess the one other thing I will highlight is our guidance represents really a central scenario in a somewhat unpredictable year coming out of COVID. And as Nick just talked about, we do have a midterm belief in a faster growth rate, especially as the comps normalize. And so we want to make sure we're set up well to execute in that faster growth environment.
Nicholas Devlin: I think, Shawn, just to build on that, Simon, 18 months ago, I had a lot of question people ask us about our cash position and said, well, look, surely, you can never invest more than about GBP 25 million a year acquiring customers. So obviously, you've got too much cash. I think we sit here having just finished the year investing GBP 50 million in acquiring customers. We have provided the best guidance we can of what that investment level looks like in a slightly uncertain year. But got absolute conviction that over the long term, there's ability to productively deploy substantially more capital [ than that ] acquiring customers at rates of return we find attractive in all of our markets.
Unknown Executive: Our next question is from [ Elliot Turner ] from [ RGA Investment Advisors ]. And he is asking, can you elaborate on your strategies to segment the customer base? How will you be tailoring the initial offer to customer group? And can you talk about the interplay between customer segmentation and the marketing strategy?
Nicholas Devlin: Yes, absolutely. So I think one of the pages we highlighted in the presentation was just an extract from what we're calling a generally triage testing. And the principle here is that you can get customers to disclose quite a lot of information in a pretty low friction, low effort way that helps you make the first case of wine more relevant. Some of the key dimensions we're interested in are exploring kind of customer style and wine type preference. We're testing, doing that by asking about favorite brands versus explicitly asking around styles and then also to understand typical price points they purchase at. And that gives you a pretty powerful way to then plug that into a little bit of data-led curation and serve different assortments of wine, potentially also a different associated offers and subscription parameters up to different types of customers. What we've shown already is that you can create a low friction experience, i.e., you don't give up any conversion in order to make a product more relevant and that there are clear groups that you can serve better. When you serve a group of customers who are used to buying expensive wine, a bunch of our premium wines on the right-hand side of that Vivino chart, they're much more satisfied than when you serve them a bunch of wines which are designed for a consumer who's typically spending $20 in their local grocery store. So that's the early part. I think then you kind of hinted us saying that we think it's really powerful. Actually, the more information you derive upfront, the more powerful and the more personalized we can make your first 30-, 60-day experience with Naked. And in common with a lot of subscription models, that's where you have your biggest opportunity to influence long-term retention. So as you can see from our long sales retention disclosure, once customers get in the habit, becoming Angels, they recognize the emotional and rational differentiation of the model, they're very sticky. But there's a big opportunity in that early stage. So any extra information we gather, we can pass through to our marketing teams to personalize that experience. And some of the cost investment we're putting in this year is in doing things like investing in better CRM technologies and platforms to make it easier and give more powerful tools to our teams to make those early experiences more relevant. So that's some of the stuff that we'll be doing. I mean we could chat about this over a glass of wine for hours but there's the high level.
Unknown Executive: Next question comes from Ben Hunt from Investec. He's asking, given the widening gap price/value between Naked and peers at higher-end prices, is there a temptation to pick up prices and to improve margins or use that margin to do more brand investment? If so, are you at risk of jeopardizing the Naked Wine investment philosophy?
Nicholas Devlin: So Ben, I think 2 things. You rightly highlight that our business model works incredibly effectively at higher prices than we've typically sold wine at. And that's an opportunity. It's an incremental opportunity to our core business, and it's one that we are pursuing. We're working to see that opportunity in a authentic way, which means it involves working with great winemakers making amazing mines. They do take a while to come to fruition in market, but we absolutely think that's an opportunity. And it should show through in us enhancing lifetime value. We'll have a group of customers [ who when ] that resonates will be exceptionally valuable. It will overall give a favorable shape to our cohorts. And on the flip side, I think the answer is no. Ultimately, we set out to build a business that was a win-win, that was [ differentiated ] winemaker and consumer. And one of our core beliefs is that at any price point, we always want to offer exceptional value to consumer. It doesn't matter if we're selling a $10 wine or a $50 wine. And the second thing is that as we scale this business, all the economics improve. And ultimately, I very strongly believe that by sharing that improvement back with the consumers and driving retention rates and loyalty, you build a stronger business that's more competitively differentiated and harder to compete with. And that's the right way to drive long-term profitability. Because again, if you think about any subscription model, the higher your retention rate, the less money you spend acquiring customers to offset customers you lose, your long-term EBIT margin gets enhanced. So that's my preferred route to long-term value creation and a high EBIT margin at maturity. I'm not trying to take short-term price.
Unknown Executive: I have a few questions there from Andrew Wade from Jefferies. His first question is can you talk through the frequency chart on Page 14. It seems to show frequency was lower than FY '19 in March, but materially ahead in April and May. Is that right? And could you explain that trend, please?
Shawn Tabak: Yes, I can take that one. Thanks, Andy. And we are obviously are providing a lot of detail on the trends -- underlying trends in the business. And sometimes, the order rates can fluctuate from month to month based off of the promotional calendar or if there's a large Never Miss Out subscription that goes out, especially as that product becomes more and more attractive with our Angels. And so that's what we saw happen in the March, April time frame. It was just a function of timing and a little bit of a shift in activation or order frequency based on again, promotional calendar and when -- the some of the Never Miss Out subscriptions landed.
Unknown Executive: And Andy's second question was, could you give us a bit -- a little bit more detail on the elevated G&A spend and what that will be on. And to simplify in terms of modeling metrics, should we expect this to drive high retention, frequency and year 1 paybacks over time?
Nicholas Devlin: Yes, happy to talk to that. As Shawn signals, most of the step-up in spend involves us investing against capability to deliver the strategic initiatives we're outlining today. So one point to make, it's kind of discretionary, we could choose not to make it. So why is that increase in the cost base? It's because we're really convinced that there are specific opportunities to enhance our customer proposition that are likely to drive an attractive return and a comparable return to acquiring new customers. And we have an agnostic investment philosophy. We don't mind what we invest in and what we care about as well as there's a believable case to generate attractive returns. Different parts of that investment will show up in different line items in the P&L over time. But I think you'd signal that, in particular, we'll be thinking about 2 things. There are a suite of investments that we talked about to improve the core shopping experience to remove friction, to improve personalization, recommendation and investment in the range to broaden that out. And you'd expect that they would, over time, give us an opportunity to enhance or improve the long-term sales retention rate. That's where you'd see that increased loyalty come through. Then there's also an opportunity to invest in things that enable us to deploy more capital to acquire customers. So for example, where we're looking to make our proposition more relevant to a new customer, ultimately, that should through in enhancing our payback, allowing us to deploy more capital in investments. So there's a couple of different places you should see that come through. Overall, a good example of it, I think, is our subscription products. So things like Never Miss Out, back-of-the-napkin math, we spent about GBP 1 million of product and tech cost over about a 2-year period to build out these new products. And they're now generating somewhere in the region of GBP 6 million of incremental contribution a year, which is growing rapidly. So these are the kind of opportunities we've got. We think we've got more of them. We feel like we've proven out the operational model, and now is the right time with a substantially larger customer base to extract value from that investment in the proposition.
Unknown Executive: Okay. I think we've got time for a couple of more questions. The next question is from Brad Hathaway, and he is asking, I appreciate the incremental disclosure about long-term margin. But can you provide more color as to how you're thinking about those longer-term margins?
Nicholas Devlin: Yes. Absolutely, Brad. The way I think about this, if you start off from thinking about the economics of us selling wine to our members, so our repeat economics, and you see in the disclosure today that we make around 30% contribution margin on those sales, actually, that's been enhanced by 3 percentage points this year. And over the medium term, as we shift the mix more towards the U.S., you can see from the disclosure that, that is likely to be enhanced further as our repeat contribution margin is substantially higher in our U.S. market. Effectively, that's the pool of cash that we call the profitability we're generating. And then from that, we're doing a couple of things. We need money to invest in acquiring new customers, and we need to pay our SG&A cost base. Over time, as we grow the business and achieve scale, we see material opportunity to drive leverage in the SG&A cost base. So you see that falling from probably about 14-or-so percent of repeat sales today to likely substantially under 10% as the business approaches some degree of maturity. And then the amount of money we spend acquiring new customers, again, to have the business at a point of maturity or low single-digit growth, that investment level, again, likely falling to kind of sub-10% of repeat sales. So you kind of do your math, that 30%, you got up to 35%, knockoff, say, 8% or 9%, knock off another 10%, you get left with your long-term EBIT margin, which is likely to be in that 10% to 15% range. The thing that's challenging is giving the disclosure about the time frame because actually the more successful we are proving that we can penetrate our $20 billion TAM in the U.S., the longer we'll be able to deploy very high levels and increase our levels of investment in acquiring customers, and you push out the point at which the business becomes more mature and then turns into delivering that high EBIT margin. And that's why we provide our disclosure around steady-state EBIT margin to help people think about the potential and how the -- given the business' economics today for long-term profitability. Hopefully, that helps give you some color about how we think about that internally and why we think the numbers we're showing today very clearly show that we're on the path of delivering that greater than 10% EBIT margin as we scale.
Unknown Executive: Our final question is from Sahill Shan, and he is asking if you could put more color on the U.S. growth, whether in the U.S. regulatory, structural competitive headwinds looking forward.
Nicholas Devlin: I think the -- I think one thing that really stood out for me in the numbers is actually we doubled the contribution from members in the U.S. year-over-year, some twice as much contribution profit from -- in the year as we've made a year ago. So it's been a real step change. Underpinning that, the single most important fact is that in the U.S. market, there was very low comprehension of what online models existed and even many U.S. wine consumers who didn't know it was legal to buy wine online. So that inflection in understanding and really accelerating, bringing forward the rates at which spend migrated from physical channels to online channels is really important and powerful. And I think it gives us a platform to sustain faster growth in that market. Put simply, that awareness and understanding isn't going to go away. And when you add that to having a business model that lets you deliver clearly differentiated rational things like better value for money, plus playing into trends like people wanting to know where their wine comes from, understanding the person behind the label, I think we've got a business that looks very favorable to take material share over the coming years in the U.S. I think in terms of question on kind of headwinds, there is a vibrant competitive environment, but we don't see any other business that's configured in the way Naked is, that enables it to support high-quality winemakers, making wines exclusively to Naked that we can sell at an attractive margin structure at the kind of range of prices we do. Kind of you're looking at kind of $9 through up to $50. There are a lot of other businesses that are looking to sell direct and focusing on maybe the $30-plus because they're operating different models with a different set of economics. But I think Naked is very differentiated in being able to effectively serve that range of price points and generate attractive contribution margins doing that. So I think we're in a good place. We're clearly differentiated from some of the other competitors who are looking to grow online. I'm very excited about the outlook for our U.S. division over the years to come.
Unknown Executive: Thank you. That concludes our webcast Q&A. There are a lot of questions, obviously, that we didn't get a chance to answer. But we have your e-mail addresses, so we want to get back to you when we can. So on that note, I'll hand back to Nick for some closing remarks.
Nicholas Devlin: Thank you very much, and thank you for taking the time to join us. I think to continue where I left off, I wanted to just conclude by giving a big thank you to all of the colleagues and all the winemakers who've been part of Naked's success this year. It's been 13 years since we started on this mission to connect directly consumers to some of the world's best winemakers. And I think we've never been closer to delivering on that. We're working with over 235 winemakers now and bringing some incredible wine to market, supporting -- with 900,000 Angel members supporting. So I just want to thank every single one of those 900,000 people, but also, in particular, our winemakers for what they've contribute during in course of this year. We're very excited about what comes ahead. I think by necessity, FY '22, to some extent will be a year of consolidation, of delivering growth on top of an exceptional year in FY '21, but also investing to put in place stronger customer proposition to restore inventory and availability levels and further differentiate the wine proposition and give us a springboard and platform for faster, long-term growth. And I'm very excited about that. I'm incredibly keen to kind of get back into a little bit more normal life and get back into the office with the team. And I'm very excited about the prospects of the year ahead. I look forward to telling you all about it in due course. So on that note, if you're somewhere where it's appropriate, cheers. Have a good evening. And if you are with me over on the West Coast, I guess, you can get sober days.